Operator: Good day ladies and gentlemen, and welcome to the second quarter 2011 Air Lease Corporation earnings conference call. My name is Shanel [Ph] and I’ll be your operator for today. At this time, all participants are in listen-only mode, later we will conduct a question-and-answer (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I will now like to turn the conference over to Mr. Ryan McKenna, Director, Strategic Planning and Investor Relations. Please proceed.
Ryan McKenna: Thank you very much. Good afternoon everyone and welcome to Air Lease Corporation second quarter 2011 earnings call. This is Ryan McKenna, Director, Strategic Planning and Investor Relations. I’m joined this afternoon by Steve Hazy, our Chairman and Chief Executive Officer; John Plueger, our President and Chief Operating Officer; and Jim Clarke, our Chief Financial Officer. Earlier today, we published our second quarter results for fiscal year 2011. A copy of our earnings release is available on Investor Section of our website at www.airleasecorp.com. This conference call is being webcast and recorded today Thursday August 11, 2011 with an audio replay will be available on our website. At this time, all participants to this call are in listen-only mode. At the conclusion of today’s conference call, instructions will be given for the question-and-answer session. Before we begin, please note that certain statements in this conference call including answers to your questions are forward-looking statements within the meaning of the Private Securities Litigation Reform Act, including without limitation, statements regarding our future operations and performance, revenues, operating expenses, other income and expense and stock-based compensation expense. These statements and any projections as to the company's future performance represent management’s estimates of future results and speak only as of today, August 11, 2011. These estimates involve risks and uncertainties that could cause actual results to differ materially from expectations. Please refer to our filings with the Securities and Exchange Commission for a more detailed description of the risk factors that may affect our results. Air Lease Corporation assumes no obligation to update any forward-looking statements or information in light of new information or future events. In addition, certain financial measures we will use during this call, such as adjusted EBITDA and adjusted net income are non-GAAP measures and have been adjusted to exclude charges relating to discounts on certain convertible notes and stock-based compensation expense among other charges. A description of our reasons for utilizing these non-GAAP measures, as well as our definition of them and a reconciliation to corresponding GAAP measures, can be found in the earnings release we issued today. This release can be found on the investor's section of our website at www.airleasecorp.com. Unauthorized recording of this conference call is not permitted. With that out of the way, I would like to turn the call over to our Chairman and Chief Executive, Steve Hazy.
Steven Udvar-Hazy: Thanks, Ryan. Good afternoon and thank you for joining us today. I’m pleased to report that for the three months ended June 30, 2011, Air Lease Corporation recorded pre-tax income of $10.9 million and net income of $7 million, resulting in a $0.08 per share earnings on a diluted basis. Adjusted EBITDA was $62.8 million and our adjusted net income totaled $19.5 million for the second quarter of 2011. Our cash flow from operations for the quarter was $48.5 million. This is our fifth full quarter in business and now our second consecutive quarter of increasing profitability. As we continue our growth trajectory, our Q2 results reflect a 121% increase in pre-tax earnings compared with Q1 2011. When comparing to the first six months of this year to the prior year, we moved from a pre-tax loss in our start-up phase in 2010 to a pre-tax profit of $15.8 million in 2011. Recent macroeconomic concerns and the aftermath of the S&P downgrade of the U.S. long-term credit rating have resulted in a significant amount of market turmoil. But market turmoil is nothing new to aircraft leasing, nor to ILFC’s management team. The aircraft leasing sector as a whole has historically demonstrated resilience during such market conditions. Specifically, prior to starting ALC, our management team generated consistent and steady financial performance in the aircraft leasing business even as the broader airline industry had been challenged. We profitability managed through numerous industry cycles and worldwide developments, such as the Gulf War in the early 1990s, the so-called, Asian financial crisis in the late 1990s, September 11, 2001 and its aftermath, which provided the single largest financial shock to-date to the global air transportation system, the global recession that began in 2007, resulting in the collapse of Lehman Brothers, AIG and the financial market turmoil in the fall of 2008. Our management team has navigated through rough waters many, many times and based on our experience, we believe turbulent times provide additional opportunities for us to make the case for aircraft leasing even more compelling to the world's airlines. Air Lease is well capitalized with a very strong balance sheet and is positioned to profit in this marketplace. During times like this, it is important to focus on the fundamentals. So let me review two most basic fundamentals that we see going forward. First, aircraft demand is outstripping aircraft supply. Second, we appear to have entered a period where we believe global economic factors will drive airlines toward leasing solution in greater numbers. Air travel is now the world's form of mass transportation, and not just for passengers, the majority of the world's air freight is transported in the bellies of commercial passenger airliners. We do not see any of these fundamentals changing in a meaningful way. In fact, due to the ever-increasing world population, growing middle-classes in China, India, Brazil and most of the developing world, we believe that commercial air transport will continue to grow over the long-term even if in a year or two of slightly decreased traffic volumes in certain markets or economic pullbacks in certain regions. The industry is experiencing an unprecedented demand for new fuel-efficient aircrafts. The order books of Boeing and Airbus are effectively sold out for the next three years. In fact, they’re over sold in certain months for single-aisle aircraft and therefore, significantly constraining supply. Both Airbus and Boeing have responded by increasing production levels, but they are still unable to provide the aircraft requirements by the marketplace. In an environment where airlines are unable to go directly to the manufactures for new plane, they turn their focus to the leasing community. In ALC’s opinion, the current availability of new aircraft from all that source is still insufficient to satisfy demand over the next five years, even this economic conditions drive airlines to cancel or defer as much as 5% of their firm orders during this time period, and those cancellations of the firm is add to total new aircraft availability. ALC believes that the total demand still outstrips total supply. As to global economic forces that drive airlines further toward a leasing solution, I can provide three fundamental observations. First, negative economic pressures have historically led airlines managements to make conservative decisions about additional leverage and to their balance sheets, quite simply, we believe that the economic stress caused the airlines will – caused them to turn to us to meet their aircraft requirements, transferring the financial requirements of aircraft ownership and the risk of ownership to the less odds and in this dimension, ALC is available and is able to provide fleet solutions for our airline clients in the short-term, medium-term as well as long-term. Secondly, the new sector understanding for aircraft, ASU, was put in place in late 2010 by the U.S., European, Brazilian, Canadian governments for guarantees underlying export financing for commercial aircraft, which will result in substantially increased funding costs, thereby eliminating the cost advantages previously provided by ECA backed financing. In fact, the fees on those financings and the guarantee fees associated with them have gone up significantly. Third, the current weakness of the U.S. dollar makes leasing relatively less expensive for foreign airlines. And I want to point out that 90% of ALC’s business is outside of the United States. It should also be noted that a prolonged release in oil prices from north of $100 per barrel to about $80 of barrel should provide a financial benefit or offset the potential declining airline yields or reduction in traffic growth that may derived from a period of economic slowdown. We remain thankful for the support that our existing and new investors have shown Air Lease Corporation in our first full year of operations. Now John Plueger, our President and Chief Operating Officer and Member of our Board will discuss ALC’s strategic positioning and what we see in our current operations. John? John L. Plueger Hey, thanks, Steve. Look as Steve has pointed out, looking forward, we see demand for new aircraft exceeding supply. In fact, this is a key premise in the launch of Air Lease Corporation. Accordingly, as of June 30, 2011 ALC has a balanced future order book of 234 new aircraft delivering over the 10-year period from 2011 through 2020 which will provide the backbone and core of our growth. Based on our nearly quarter of a century average management team experience in this industry, we order what we consider to be is the best most fuel efficient, most widely distributed aircraft available from Boeing, Airbus, Embraer and ATR. Now I mentioned the word balanced when referring to our order book, by that I mean not only balancing single-aisle with twin-aisle, balancing Airbus with Boeing, balancing engine manufacturers, balancing the rise of regional jets and Turbo-prop with Embraer and ATR respectively, but also balance in terms of overall quantity, capital risk and hedging against potential negative economic headwinds, specifically as a general policy, we only order about half the amount of aircraft that we think we can place and finance. This allows us to keep half of our capital powder dry for incremental opportunistic orders or asset acquisitions and conversely, keeps our forward capital commitments manageable in the event that unforeseen worldwide events led to – lead to prolonged periods of weak aircraft demand. As another fleet balancing example, ALC's orders for the new engine option A320 and A321 were measured, pending clarity from Boeing as to its competitive response; that is a new aircraft or a re-engined 737. And about three weeks ago, we got Boeing's answer. Our re-engined 737 is projected for delivery towards the end of this decade. We are analyzing and commenting to Boeing on the performance and economics of this aircraft as those parameters unfold and will plan that segment of our future fleet acquisitions according to our findings and determinations. ALC’s strategy also focuses on global diversification of our airline placements in terms of maximized risk adjusted returns. ALC routinely analyzes concentration and type risk before entering into placement discussions, as an integral part of our risk management. We are not seeing any agents of increased credit or collection issues among our customer base nor are we seeing deterioration in lease rates. To the contrary, we’re seeing overall lease rates, across our chosen aircraft sides strengthening, consistent with supply versus demand outlook we have outlined. Finally we believe that ALC’s current debt to equity ratio of less than one to one at June 30, 2011, combined with our liquidity factors including cash available undrawn secured and unsecured facility credit lines. An unencumbered aircraft provides sufficient balance sheet strength to take advantage of opportunities and at the same time minimize our downside risk to credit markets and negative economic pressures. Now utilizing these strategies, Air Lease Corporation added 16 aircraft during the second quarter of 2011 and ended with 65 aircraft in our fleet with a weighted average of three page – of 3.6 years, spread across a diverse and balanced customer base of 43 airlines in 26 countries with 47% of our fleet based in Europe, 34% based in Asia, 24% based in North, Central and South America and 5% in the Middle Eastern Africa. Looking forward to the end of 2011, we have firmly contracted transactions they will add another 33 aircrafts such that as of today. We have lined up 98 aircrafts towards our goal of achieving a fleet of 100 aircraft by the end of 2011. We evaluate opportunities on an ongoing basis to acquire attractive aircraft from other leasing companies, our airline customers and the airframe manufacturers. As of today, our forward leased placements are tracking our expectations. We are 100% placed for 2011, 93.5% placed for 2012; 56% placed for 2013; and 23% placed for 2014. With respect to the recent economic turmoil, credit markets have remained liquid and have had little impact on ALC‘s borrowing cost thus far. Based on the outcome of the Federal Open Market Committee meeting on Tuesday, we expect interest rates to remain attractive over the next two years. As market conditions evolve, we will continue to evaluate additional sources and forms of financing. And on that note, I’ll turn this over to Jim Clarke, our Chief Financial Officer. Jim?
James Clarke: Thank you, John. As Steve mentioned, this quarter marks ALC’s second consecutive quarter of increasing profitability. During the second quarter, our fleet generated $74 million in rental revenue, which includes overhaul revenue of $2.6 million compared to rental revenue of $1.2 million, which included overhaul revenue of $0.2 million in the second quarter of 2010. As a reminder, ALC adds aircrafts throughout the quarter. So the full impact on rental revenues for aircrafts acquired during the quarter will be reflected in subsequent periods. Interest expense and depreciation increased year-over-year proportionally to our fleet growth and higher debt balances. We recorded SG&A expense of $11.3 million in the second quarter of 2011 versus $5.3 million during the second quarter of 2010. SG&A expense represented disproportionally high percentage of revenues during our initial years of operation. As we continue to add aircrafts, we expect SG&A to continue decreased as a percentage of our growing revenue. Turning to our financings, as of June 30, 2011, ALC had built a diverse lending group consisting of 16 banks providing unsecured and secured facilities. Our overall composite cost of funds was 3.29% in the second quarter. This rate does not include the effect of upfront fees, undrawn fees or issuance cost amortization. During the second quarter of 2011, the company issued $120 million in senior unsecured notes in a private placement to institutional investors. These notes have a five-year term and a coupon of 5%. As of quarter end, we had 12 unsecured revolving bilateral bank facilities totaling $313 million. Additionally, ALC entered into two secured term facilities, with recourse to the company, aggregating $82.8 million. In connection with these facilities, the company pledged $129 million in aircraft collateral. ALC grew $104.9 million under our Warehouse Facility and incrementally pledged aircraft collateral totaling $163 million in the quarter. As of June 30, 2011, ALC has borrowed $703.9 million under the facility and had pledged 28 aircraft as collateral with a net book value of $1.2 billion. As John indicated, we continue to expand our banking group and sources of financing. Since June 30, ALC has added new bank facilities totaling $110.9 million and we are pursuing additional opportunities in the banking sector as well as private and public debt capital markets as conditions warrant. I will now turn it back to Ryan.
Ryan McKenna: Thank you. That concludes management's remarks. Now I'd like to hand the call over to the operator for questions. Operator?
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Gregory Lewis of Credit Suisse.
Gregory Lewis – Credit Suisse: Yes, thank you and good afternoon. Good afternoon to you. Hi.
Gregory Lewis – Credit Suisse: Yeah John, you mentioned a little bit about the Boeing's decision to re-engineering the 737. In thinking about that, I guess could you provide a little bit of color on that? And what does that – does that change Air Lease's willingness to maybe start to look at aircrafts that are maybe a few years old in terms of doing purchase on lease back transactions?
Steven Udvar-Hazy: No, the – go ahead, John.
John Plueger: Right, Steve. Well, I think Greg, the focus and the primary business model this company concentrates on new aircraft purchased for the manufacturers. You got to remember, when we started this company, we did purchase lease-back transaction as a historic kit. And we do remain open to purchasing additional incremental aircrafts in that marketplace in the near-term future. But clearly, we are now shifting to a model where we are focusing our primary growth on new aircraft acquisitions. And as to the 737 re-engineering, all we can say is that we continue to evaluate the information that we have with Boeing and very involved with Boeing. And we continue to comment to Boeing on how we see that aircraft evolving and on the economics of that aircraft. So I think it’s until the – until that aircraft is fully and specifically defined and a matter of fact until the Boeing company gets Board approval to launch that aircraft, I think it’s a bit premature to draw a lot of conclusions or forward projections as to what we may or may not do. I think we just simply need to be confident and understand what that final product is before reaching any broad conclusions. Steve, you have anything to add?
Steven Udvar-Hazy: No, I just wanted to add that the program is still in the design definition phase, there is a lot of work yet to be done by CFM on the engine. And it’s really premature, as John indicated, to draw any conclusions as to the competitive economic profile of that aircraft versus the A320 family. Secondly, the – based on the best information we have, the possible reengineering of the 737 will track much later than the Airbus program. So in terms of timeline, any impact it may have in the future is going to be at a later date.
Gregory Lewis – Credit Suisse: Okay, great. And then…
Steven Udvar-Hazy: Hope that answers your question on the re-engine 737 concept?
Gregory Lewis – Credit Suisse: Yes, thank you very much. And then just thinking about, it looks like some of the U.S. airlines are going to be their potential is there, we’ll see how that plays out, given that backdrop and historically, you guys have tried to source more aircraft, overseas and emerging areas, just given the opportunities that are, it looks like they’re going to be available over the next few years in the U.S. do you anticipate getting a little bit more aggressive in sort of placing aircraft in the U.S?
Steven Udvar-Hazy: We obviously maintain a close dialogue with the senior managements of all the large U.S. carriers, particular legacy carriers. We already have two 737-800 with continental united, we have two 737-700 with Southwest, we’ve had on and off discussions with the senior managements at American Delta, Alaska and U.S. Airways and we’ll keep our eyes and ears open, but as you say our traditional market focus has been in the international marketplace. But we do allocate about 10% of our total assets and resources to the domestic U.S. market. And so that will play a role in our future. It’s difficult to predict how these airlines will perform over the next several years. But we certainly keep our options open vis-a-vis the U.S. Carriers but do not expect that to be a significant part of our revenue base.
Gregory Lewis – Credit Suisse: Okay, great. And then just one final question. Clearly there is a lot of economic uncertainty out there, and when we’ll see how the next I guess six to 12 months play out? But could you talk about you know I guess in previous sort of downturns in the global economy, what that actually – what that meant for your company and in thinking about just how strong the balance sheet is, could that actually provide some pretty attractive opportunities?
Steven Udvar-Hazy: Well, absolutely. Generally what we’ve seen on a global basis is that airlines tend to ground their least efficient aircraft and they deactivate markets where they don’t perform well in terms of traffic and revenue generation and profitability. And so because of the mix of the fleet we have with the airlines, it’s less likely that our aircraft will be effective and what we’ve seen in the past is that the oldest, highest maintenance cost, highest fuel consumption aircraft are the ones that are more vulnerable to reduce utilization or even grounding. And as you say, we do see opportunities because if an airline needs cash, we could potentially acquire assets at distress prices. So we look at the downturn as a window of opportunity, not as a sign of distress for ALC, and that’s based on a historical performance.
John Plueger: Yeah, I would just add to Steve’s comments’ that, actually, if you look at our history as a management team, volatility is something that we actually profitably exploit, and one of the advantages of having such a large airline network, and a fleet and not only with future orders coming, but relationships with all of the airlines is we can address any short, medium and long-term concerns that they have, sometimes an airline may come to us, and they say, hey we want to up gauge this size of aircraft, or down gauge, and we have that aircraft on lease, we actually say fine you give that one back to us, we have great placement capability, we’ll give you a bigger one, we can give you a smaller one, we solve their problems, and I think that’s the key element here in volatile times, we solve airline problems. And you know we often said that you know if this was a boring study star, 3% to 4% a year industry where people kept the airplanes for 25 and 30 years. There really has been no need for leasing. But in fact, it is this very volatility that we exploit and it is the very tool that I think the airline committee looks to us to help them solve any concerns they may have whether it's overcapacity, undercapacity, switching type, switching markets, consideration of mergers and acquisitions, alliances, et cetera. This is the very thing that we drive on.
Steven Udvar-Hazy: Just to illustrate that example, a few weeks ago, one of our customers in Europe decided to add a surplus of two very, very young single-aisle aircraft because they were realigning their network. And within a matter of days, we came to an agreement to purchase those two aircraft and within 24 hours we actually found a customer in the Americas on a very attractive lease solution. So what we did is we help one airline, reduced our capacity and another airline in different part of the world increased their capacity as the demand dictated. So I think that’s like stability that creativity, that mobility and the relationships that we’ve established with airlines all over the world. There is a tremendous asset on our balance sheet that you can’t really quantify.
Gregory Lewis – Credit Suisse: Okay, perfect. Thank you for the time.
Steven Udvar-Hazy: Thank you. Next question?
Operator: Your next question comes from the line of Jason Arnold – RBC Capital Markets.
Jason Arnold – RBC Capital Markets: Hi, good afternoon guys and congrats on your second public quarter here. Just curious if you could talk about which global regions you’re finding the most opportunity at present? And then perhaps comment on the competition between yourselves and leasers and other sources of aircraft financing out there right now?
Steven Udvar-Hazy: Sure. If you just look at our earnings release, Jason, you’ll actually see and blind my remarks, you’ll see that our greatest increase from the last quarter was actually our percentage of business in Asia. So I think we went from last quarter of somewhere just south of I hear under 30% is somewhere around 34% just in three months. So I think broadly that continues to remain the focus for growth for ALC. As we have commented and stated over the past year, those results are exactly tracking with our expectations. We have also – if you look at our website, we have been very successful in our Embraer and ATR placements in South America for example in Brazil. But I think if I had to just put a fine point on it, Asia still remains I think the larger focus and in fact most of our all of our recent placements – the wide-body side have – have been Asian focused. We just announced by the way in Europe a significant placement as well of our single haul aircraft. And so I think the simple answer is Asia. We don’t see that changing. We see that continuing to strengthen. And I think Latin America is still showing double-digit growth rates and what we consider the stronger countries like Brazil and Columbia, Panama and certain regions of Europe are still doing quite well. Eastern Europe, we’ve done a number of transactions. We’ve recently closed a deal in Czech Republic. We have some aircraft going to Bulgaria. We’ve done a three A320s in Russia. So I think with our diverse marketing penetration, it’s still looking quite strong from all areas expect a few counties in Europe obviously on the watch list and the U.S. as I mentioned earlier is less than 10% of our total activity. So we really haven’t seen any impact of the turmoil of the last few weeks on our direct business.
Jason Arnold – RBC Capital Markets: Okay, great. And then I guess on the competition between yourselves and others I mean, that seems like kind of what’s going on in bank land that as you guys mentioned earlier that you’ve got a real advantage. But I was just curious if you could offer any additional color on competition you’re seeing there?
Steven Udvar-Hazy: Well there’s been lot of publicity in the last year about the start up less source and there were significant distinctions between the various players. Jackson Square and Avalon which are the two other large start ups in my large I mean capital wise, have focused primarily in the sale lease backed market and generally what that involves in airline is already placed an order and may stepped into that position at delivery. We have done very little of that and in fact have no plans to do any of that in the future. As John indicated earlier in his introduction, our focus is new aircraft from the manufacturers. We have acquired packages of portfolios from various financial institutions in that source. That was primarily to prime the pump and get the initial fleet up to where it is today. But the bulk of our future capital allocation is going to new aircraft that we have negotiated on terms that we feel are attractive for our long-term shareholder value. In terms of other competitors, obviously GCAS continues to be a major player. ILFC has very few new aircraft deliveries in the next two years. But we haven’t seen really any competition with our old friends over there. But we don’t see the competitive environment any different than in the past. There are six or eight players and right now, demand is in excess of supply. So there is room for everybody. But as we grow in strength, I think our market presence will continue to strengthen and we’ll be taking market share away from the other players.
Jason Arnold – RBC Capital Markets: Perfect, thanks so much.
John Plueger: Thanks.
Operator: The next question comes from the line of Mark Streeter, JPMorgan.
Mark Streeter - JPMorgan: Good afternoon, gentlemen. Steve, you have been fairly vocal in the press and so forth about a preference for Boeing, not to re-engine, but to introduce new technology, narrow body. And I’m sort of wondering, I know you’re working with them and so forth. But are you disappointed that you didn’t go down that route?
Steven F. Udvar-Hazy: Personally, I’m disappointed. But I fully recognize and understand the reasons why Boeing is going down this path. You have to remember that they have two very large programs, the 787 and the 747-8 Intercontinental, which have an expensive ambitious project and neither aircraft has been certificated yet, neither aircraft is in revenue service, they’ve both been a tremendous negative cash flow for the company, and we feel until those aircrafts are out flying, it would have been very difficult for Boeing to make a $10 billion or $12 billion commitment to develop a new aircraft. Now, we continue to work with Boeing very closely on defining a new generation of aircraft, which will eventually replace 737 and the 757. But I think at this juncture, with the implications of the existing programs and the inability to find where this new airplane would be built and how it would be built, and some of the other labor issues Boeing is faced with right now, I think they took sort of a band-aid solution. But there are still questions about how competitive that 737NEO engine airplane would be vis-à-vis the A320NEO because as you all know, the 737 has no dynamic and geometric limitations on the fan diameter of an engine. So we're still working and talking with Boeing on a frequent basis to understand how this design will evolve on the 737 re-engining. And all cards are still in the table, I don't think there's been any definitive final definitions of the configuration. But certainly they have their work cut out because the airplane is closer to the ground, it’s an older generation airplane, the original design dates back to 1967. So I think Boeing has many, many challenges to overcome to make it an effective airplane.
Mark Streeter - JPMorgan: And any downstream impact of perhaps, I think the assumption is they're going to re-engine the aircraft, now they're going to get Board approval and so forth and there has been some speculation about Boeing pulling forward a 777 redo. And I'm just sort of wondering if you look at the downstream effect of Boeing having now shown in their cards in terms of what their narrow body strategy is, what that means in terms of how you're looking at the different aircraft programs in the marketplace?
Steven Udvar-Hazy: Well this is something Mark, we spend a tremendous amount of time with Boeing and Airbus and the engine manufacturers. We have been spending a lot of time with Boeing since the Paris Air Show. We have looked at different scenarios on an improved version of the 777. There is multiple variations, some involve minor changes, some involve completely new wings, some involve aerodynamic improvements, some involve a brand new engine which GE would have to develop as a follow-on to the G-90. Let’s just say there is a lot of options on the menu. Some of those options are extremely costly in terms of development cost and would involve significant redesign of the airplane. Others are more what I call band aid solutions to be competitive with the A350-1000. But everything is still on the table and I don’t think Boeing is going to come to any quick decisions on any of those programs because they involve tremendous amount of resources both financial and engineering design resources and I think, first Boeing have to groups with getting 787 flying. I think that’s really the number one goal right now of the company, and when I say company, I’m talking about Boeing, not ALC.
Mark Streeter - JPMorgan: Great, thanks Steve. I would appreciate your color on the aircraft programs and then just a final question. There has been some activity on the portfolio front, Fly haven’t purchased most recent portfolio. RBS portfolio is clearly out there in the marketplace. Just sort of wondering if you had any thoughts about using your dry powder on any of these portfolios in the marketplace?
Steven Udvar-Hazy: Well I will let John to comment but everything that’s available including the kitchen sink of less sources has been offered to us. This has been pride of opportunities but I will let john to comment on the quantitative and the qualitative aspects of that.
John Plueger: I think Mark as you would expect we just simply cannot. We really don’t comment on all of these different possibilities vis-à-vis ALC’s intentions. Simply to say that we’re doing our jobs evaluating, all opportunities across all fleets and aircraft types on an ongoing basis. So your point those are out there, certainly they are, and we’re doing our management jobs evaluating the whole company on a go-forward basis. So that’s all we can really comment on at this point in time.
Mark Streeter - JPMorgan: All right, great. And then just, I guess one last question. Has Boeing and Airbus; they took down a lot of bad stock financing their primary financing with that huge AMR order. Have you specifically been approached by them with some of the economics of what they’ve promised AMR and how Air Lease might be able to participate in that deal?
John Plueger: Yeah, both have approached us. But we have not seen any definitive economics. I think they need general commitments to American to provide third-party financing and leasing. But I don’t think the details of that has been resolved in its totality. So we are not at this point, ready to make any comments on them…
Mark Streeter - JPMorgan: Thank you.
John Plueger: Because we don’t have all the facts.
Steven Udvar-Hazy: Thanks Mark very much for the question.
Mark Streeter - JPMorgan: Thank you.
Steven Udvar-Hazy: Operator, next.
Operator: Yeah, your next question comes from the line of Gary Liebowitz with Wells Fargo Securities.
Gary Liebowitz – Wells Fargo Securities: Thank you, and good afternoon gentlemen.
Steven Udvar-Hazy: Hi, Gary.
John Plueger: Hi, Gary.
Gary Liebowitz – Wells Fargo Securities: Can you tell us hardly thinking about the engine decision on the A320neo how the crate engine stacking up against the CFN and when you could – when we should expect you to make that choice?
Steven Udvar-Hazy: Well, our first delivery on the A320neo is not until the very early part 2016. And so we have – we still have about 4.5 years before delivery and we would expect to make some engine decisions probably in the next 12 to 18 months, we're not in a hurry to do that. Obviously, both engines are still under development and testing, so we're monitoring that very closely Gary. And as you know we do have a lot of experience with A320 engines, A320 family engines over the last 25 years. So, we're working very closely with Airbus and the engine suppliers on monitoring the performance of these engines, their fuel consumption characteristics and maintenance costs, curves, and so and so. Once we feel comfortable, and we get good market feedback from our airline less fees, we'll make those decisions in due course.
Gary Liebowitz – Wells Fargo Securities: Okay. And not to be the dead horse on the 737 re-engine, but and I think the general, looking at towards a late 2016 or early 2017 service entry. Did you, were you implying by your prepared comments that it could be a little later than that?
Steven Udvar-Hazy: I just could ask you Gary to look at every new program in the last 20 years from Boeing and Airbus and look at the promised delivery date and certification date and the actual, and you can do that research I'm sure you have that data available where it’s the A380 or any other airplane that’s been designed and build in the last 20 years. We have not seen the single airplane that was on time.
Gary Liebowitz – Wells Fargo Securities: Okay, okay. And you don’t have any convergent options for your say your 2017 NG schedule deliveries, correct?
Steven Udvar-Hazy: I'm not at liberty to comment on the arrangements we have in our purchase agreements with Boeing. Those are covered on the confidentiality but knowing how we operate, you can make your own assumptions. We generally leave a lot of flexibility in all of our purchase agreements to switch between types and sub-models.
Gary Liebowitz – Wells Fargo Securities: Okay.
Steven Udvar-Hazy: It’s a general philosophy of the company, but I really can’t comment on the specifics of our Boeing agreement.
Gary Liebowitz – Wells Fargo Securities: Okay, I just want to…
Steven Udvar-Hazy: Thank you very much for the question, Gary.
Gary Liebowitz – Wells Fargo Securities: Can you just tell me when the 10-Q is coming out?
Steven Udvar-Hazy: We publish tomorrow.
John Plueger: Tomorrow, Gary.
Gary Liebowitz – Wells Fargo Securities: Thank you.
John Plueger: It’s in the press.
Operator:
.:
Arren Cyganovich - Evercore: Thank you. We’ve been hearing from other smaller life source about the pricing on new narrow bodies being relatively too high to generate strong enough returns. Can you talk a little bit about how you differ and where you expect to see your returns on new narrow body purchases? I think in the past you’ve said high teens type of pre-tax ROEs are either possible, but competitors are saying that’s a little bit too rosy, you can – can you comment a little on that?
Steven Udvar-Hazy: Yeah, we have really not seen any differentiation between what our projections were last year versus actual performance in terms of lease rates where we’re seeing the trends pretty much along the lines of what we have anticipated. So I don’t know what other source or any comments, but.
John Plueger: Aaron this is John Plueger. Just a matter of comment, we don’t give sort of forward guidance or that sort of thing. I think you can just simply generally assume, we’ve bought aircraft at a point of time that we’re happy with. And then we believe are going to give us the returns that we need to achieve. But you will not be seeing sort of guidance from us on margins or lease rate factors or that sort of things.
Arren Cyganovich - Evercore: Okay, thanks and then, additionally, the – in your comments you mentioned that you could potentially acquire some aircrafts at distressed prices. Is that really on new crafts you’re talking about there, not been any kind of mid-age older aircrafts, just new stuff.
John Plueger: Our general focus is on new aircraft or used aircraft that are less than five years old. So in terms of opportunistic acquisitions, we’re always willing to look at what they call white tails, and that’s an aircraft that’s built by Boeing or Airbus, where there was an intended customer, but the customer doesn’t show up for delivery. So that’s one type of circumstance. Another one could be where an airline needs to generate cash and is willing to sell a young aircraft to generate cash below market prices to do a quick transaction.
Arren Cyganovich - Evercore: Okay, thank you.
John Plueger: Okay.
Operator: Your final question comes from the line of Gary Chase of Barclays Capital.
Gary Chase – Barclays Capital: Hi, buddy.
John Plueger: Hi, Gary.
Gary Chase – Barclays Capital: Just wanted to ask a quick one on the quarter and then a broader one if I could. Could you maybe give us a sense for the asset acquisitions that came into effect during the quarter, were those skewed (inaudible) for the quarter or should we think of them as something that develop through the period?
John Plueger: Gary, we really don't comment of the timing, et cetera. We did put a comment in our prepared remarks that just reminded people that they’re added sort of ratably throughout the quarter. And that's just always been true in our business. But we just don't provide comments as to early, middle, late or that sort of thing. As our – and as our fleet size grows, that becomes less and less relevant, full impact in future quarters.
Gary Chase – Barclays Capital: I'm sorry, what was that?
John Plueger: Full impact in future quarters in other words. And in fact…
Gary Chase – Barclays Capital: All right.
John Plueger: This growth the timing effect just gets minimized.
Steven Udvar-Hazy: Yeah, for example, if – let's say, we bought an airplane on June 21, we only get nine days or one-tenth of the quarter revenue. But in the next quarter, in the third quarter, we will get full revenue recognition. So one has to be careful in doing numerics on the quarter and dividing them of aircraft into rentals and things like that because depending on when the aircraft was purchased during the quarter, it could alter the mathematical result. So I think what we’re saying, just be careful when you analyze those numbers because aircrafts are delivered at different points in a given calendar quarter.
Gary Chase – Barclays Capital: Yeah, right. I guess you‘ve talked around this issue and in the prepared remarks you talked about you aren’t seeing any stress in the capital markets. I’m wondering if maybe, is that a statement that you think speak to Air Lease just given your position in the – that you do have or is it more broad? And one of the reasons I’m asking, I was trying to get a sense of whether or not you think the current environment might create just kind of unique opportunities that (inaudible) spend in some of that dry (inaudible) you think the situation needs to develop quite a bit further before that kind of (inaudible)would be likely?
Steven Udvar-Hazy: What I can say is we’ve had tremendous support from the commercial banking community in the U.S., in Europe, Asian banks. We have not seen any banks that have shied away from doing business with us. We’ve also, during the quarter, issued $120 million of a five-year private placement to two large, very sophisticated institutions. We continue to see a lot of interest from financers and Air Lease. And I think that’s a byproduct of several factors. One, as John pointed out, this management team has weathered and successfully navigated through many, many economic cycles over the last four decades. Number two, I think we have the best balance sheet in the business, we have strongest capital structure. I think we have a very strong paid and capital equity base; and we have low leverage. And I think we have the relationships with both the suppliers and the ultimate users of aircraft, the airlines on a global scale. And I think the lenders and the banking community and the institutional debt investors, I think recognized those positive qualities. And so for that reason or for those reasons, I think we have not seen a degradation in the availability of debt capital for the company. Now, we are very mindful that certain banks are going to be more stressed than others, and these obviously, issues that were following very closely in Europe, but so far they have not directly impacted Air Lease.
Gary Chase – Barclays Capital: Okay. Thanks guys.
Ryan McKenna: Great, thank you very much everybody for joining us today. And that concludes the Air Lease Corporation second quarter call, thank you.
Operator: Ladies and gentlemen, that concludes the presentation. Thank you for your participation. You may now disconnect. Have a great day.